Operator: Good morning, ladies and gentlemen, and welcome to the Canadian Natural Resources 2013 Second Quarter Conference Call. I would now like to turn the meeting over to Mr. Doug Proll, Executive Vice President of Canadian Natural Resources. Please go ahead, Mr. Proll.
Douglas A. Proll: Thank you, operator, and good morning. Thank you for joining the Canadian Natural Resources conference call, where we will discuss our 2013 second quarter operation and financial results and provide an update of these operations as we move into the second half of 2013. With me this morning are Steve Laut, our President; and Corey Bieber, our Chief Financial Officer and Senior Vice President of Finance. Before we begin, I would refer you to the comments regarding forward-looking information contained in our press release. And also note that all dollar amounts are in Canadian dollars and production and reserves are expressed as before royalties, unless otherwise stated. As you will hear from Steve and Corey, we exited the first half of 2013 in a very strong position, operationally and financially. We executed on our planned drilling and tie-in programs, completed our first major turnaround at Horizon and completed the Septimus gas plant expansion. We also continued to execute on Kirby South and the Horizon Phase 2/3 expansion. I will now turn the meeting over to Steve for his detailed review.
Steve W. Laut: Thanks, Doug, and good morning, everyone. The second quarter was a solid quarter for Canadian Natural. Production volumes are at or above expectations, operating costs were down and pricing was stronger than in Q1. Looking forward into Q3 and Q4, we expect production volumes to increase and the oil pricing environment to be significantly stronger, driving quarterly cash flow at potentially record levels. Before I touch on the highlights for each area, I'll make a few comments about Canadian Natural overall. The strength of our assets, robustness of our plan and the enviable position we're in relative to most of our peer group. As you know, Canadian Natural has and will continue to build a premium value, defined growth independent. We're one of the few companies in our peer group that has the assets to deliver free cash flow on a sustainable basis, a direct result of the strength of our assets through us and our [ph] business model and strategies and our ability to effectively execute these strategies. It all starts Canadian Natural's diversified and well-balanced asset base, which is delivering significant cash flow. And at the asset base, we're able to grow by utilizing less than half of our cash flow, generating significant free cash flow. Free cash flow is set to increase dramatically as a result of the effective and strategic capital allocation choices. As you know, Canadian Natural has essentially 4 free cash allocation choices -- or cash flow allocation choices: Development of our large asset resource base, which receives the lion's share of the capital allocation at this point, which, in turn, increases the strength of our asset base and increases our ability to generate even greater amounts of cash flow and, due to long-life, low-decline nature of these resources, even creates greater amounts of sustainable free cash flow going forward. We can allocate free cash flow to strengthen the balance sheet, a balance sheet that is already very strong. We can allocate some of the free cash flow to opportunistic acquisitions, if they're available, add value and strengthen our asset portfolio. And finally, and most likely, as we move forward, we can and have returned cash to shareholders through increased dividends and share buybacks. Since 2009, Canadian Natural has increased return to shareholders at a 38% CAGR, as we effectively balance the allocation of free cash flow between all of these choices. This model is highly effective, starts with our balanced diversified asset base and is driven by effective capital allocation, effective and efficient operations and strong management. Highlighting our assets and starting with gas. Canadian Natural is the second-largest natural gas producer in Canada, with a very large land base and effective and efficient operations. When gas prices strengthen, Canadian Natural is in great shape. Our vast asset base in conventional and unconventional gas and our dominant infrastructure position allow us to maximize the benefits of higher gas prices and, if we choose, allow us to quickly and efficiently increase gas drilling and production at very effective costs. Gas prices have strengthened somewhat in 2013. However, there's been recent weakness in AECO basis. We believe the current widening of the AECO basis is short term in nature, and we rectify [indiscernible] sign up for firm transportation. We're already seeing close to 1 Bcf a day move to firm service since the basis widened. At Septimus, the expansion for our 125 million a day and 12,200 barrels a day liquids plant is complete, and we're ramping up production to the facility, as we speak. Current production is 96 million a day and 9,300 barrels a day of liquids. We expect August to average 105 million a day and 10,080 barrels a day of liquids and reach full capacity by September, driving a positive impact on Q3 cash flow. Canadian Natural has a dominant land position, with over 1 million high-quality net acres, the largest in the industry. In order to maximize the value of this important asset, Canadian Natural has begun a process to monetize approximately 240,000 net acres or roughly 375 net sections of our Montney land base in the liquids-rich fairway in the Graham Kobes area of Northeast BC. Under the process, Canadian Natural considered either outright sale of the lands or a joint venture partner with LNG expertise to jointly develop the lands. If this process meets our internal targets and a transaction is completed, Canadian Natural will continue to have one of the largest undeveloped Montney land bases in Canada, with lands contained in 2 major areas in Septimus BC and Northwest Alberta. The process is well underway, with the data room opening in the middle of the month. Turning to our oil assets. On Canadian Natural's thermal heavy oil lands, we have 97 billion barrels in place, and we expect to recover 10.6 billion barrels from our vast thermal heavy oil resources. Canadian Natural is executing a disciplined step-wise plan to unlock the huge value of this asset base by bringing on 40,000 to 60,000 barrels a day every 2 to 3 years, taking production facility capacity to 510,000 barrels a day or 0.5 million barrels a day, all at 100% working interest. 365,000 barrels a day of this 510,000 barrels a day, or roughly 70%, will be coming from our SAGD op developments. At Primrose, our thermal cyclic steam operations, let me give my comments on the recent bitumen emulsion leakages by saying that Canadian Natural is saddened by the unfortunate loss of 27 birds, 23 small animals and 77 amphibians. We're committed to ensuring we minimize the environmental [indiscernible] oil operations. And at Canadian Natural, everyone takes this event very seriously. We're responsible for this incident, and we are very sorry that this incidence has happened. We're committed to ensuring the Primrose cleanup and reclamation work is done right. We'll minimize the impact to the environment, and we're taking proactive measures to prevent this type of incident in the future. Our clean-up operations are going very well, and we recovered a substantial amount of oil that seeped to the surface already. The impacted area has been reduced by roughly 35%. Our teams are doing a great job cleaning up the locations in a manner that minimizes additional environmental damage and are doing it safely. With these types -- these types of events, the bitumen emulsion, will continue to seep at ever declining rates for a period of time. At this point in time, we estimate the seepage from all 4 locations is less than 20 barrels a day. The seepage is contained and collected on a regular basis. There's effectively little to no additional environmental damage. We'll manage the ever declining seepage going forward in this manner. Canadian Natural is confident that the cause of bitumen emulsion seepage is due to wellbore mechanical failures in the vicinity of the impacted locations, and we have a pretty good idea of the leaking wellbores. In over 30 years of using the current steaming and extraction methods in Primrose areas, there have been a few bitumen emulsion seepages to surface. These events have been caused by wellbore failures and, in the vast majority of the cases, are repairable. If the wellbore is not repairable, steaming strategies can be modified to prevent these incidents from occurring in the future. Although these events are relatively uncommon, we believe that we'll be able to identify any potential wellbores that may present risk and repair these wells before steaming. And if wells cannot be repaired, we'll modify our steaming practices around these wells to prevent any further future occurrences. Due to this event, steaming in the affected areas was reduced. In the Primrose East area and within 1 kilometer of the 19/21 [ph] Primrose South location, steaming has been halted and we have begun the production cycle earlier than expected in these areas. July production came in at about 120,000 barrels a day, with an additional 20,000 barrels a day of production capacity held up in the field as we bring production into effective locations into the plant first, utilizing all available plant production capacity. As a result, production guidance for 2013 will remain unchanged at 100,000 to 107,000 barrels a day. We expect to take some time to complete all investigative work and come on with a modified steaming strategies, at least, initially in the affected areas. At this time, we expect 2014 to be in line with 2013 production levels at between 100,000 and 110,000 barrels a day or about 10,000 barrels a day less than targeted in 2014. Thermal reserves are over the life cycle expected to be substantially unchanged. Turning to Canadian Natural's thermal SAGD operations. At Kirby South, we've been very successful. Construction is complete, and we're well into commissioning of the facilities, with first team expected in late August or early September, well ahead of the original scheduled November steam-in date. Our costs are on budget. And once commissioned, we expect production to ramp up to 40,000 barrels a day by late 2014 at a cost of $30,000 per flowing barrel. Kirby South is the first step in a phase of step-wise development to take overall Kirby -- greater Kirby area production to 140,000 barrels a day. The next step is Kirby North, with detailed engineering and is on track at 64% complete, with the regulatory approval process unfolding as expected. Canadian Natural is the largest primary heavy oil producer in Canada. We dominate the land base and infrastructure, and we have over 8,500 locations in inventory. Due in part to our dominance, we have excellent capital efficiencies and low operating costs, making primary heavy oil the highest return on capital projects in our portfolio and generate significant free cash flow. Canadian Natural drilled 121 wells in the second quarter, out of our expected 890-well program for the year. Production was on track, up 12% from Q2 2012 at 136,000 barrels a day. We expect to deliver 12% production growth to just over 140,000 barrels a day at the midpoint for the year. At our world-class Pelican Lake pool, our leading-edge polymer flood is driving significant reserves and value growth. We have over 550 million barrels to develop under polymer flood. Our plan in 2013 at Pelican is to continue the development of the polymer flood with 56% of the pool converted by the end of 2013. We're seeing good production response from the polymer flood, and we'll see production increase by 17% in 2013. A new production facility at Pelican Lake came on mid-May, adding 20,000 barrels a day of capacity to handle incremental Pelican and Woodenhouse volumes. Pelican ramped up from 38,000 barrels a day in Q1 to 46,000 barrels a day in June and July, up 6,000 barrels a day or roughly 16%, achieving record production volumes for Pelican. Woodenhouse has ramped up to 14,500 barrels a day from 12,000 barrels a day in Q1, despite this ramp-up being hampered somewhat with wet seasonal weather impacting our ability to truck. August volumes will be 17,000 to 19,000 barrels a day range, with Woodenhouse exiting the year in a 22,000 barrels a day range. Turning to light oil and NGLs in Canada. We continue to optimize our existing waterfloods and leverage technology over our extensive land base. The second quarter volumes were slightly less than Q1, as expected, with Septimus tie-in work, Wembley expansion and turnarounds affecting production levels. In addition, we recently acquired the assets of Barrick Energy, which adds 4,200 barrels a day of light oil and 4.4 million cubic feet a day of gas. This is a tuck-in acquisition. It fits very well with our current operations, and we see production and operating cost optimization opportunities, as well as work-over and drilling opportunities that will add to our portfolio and will compete for capital with the existing opportunities. Our program remains on track to deliver solid 2013 production growth of 7% to 68,000 barrels a day at the midpoint of the guidance. Internationally, offshore production increased 6% over Q1, largely due to Olowi in Gabon returning to production. In the North Sea, we'll run 2 rigs in 2013 and drill 3.6 net wells, as well as perform a number of workovers and safety-critical work in the platforms. We received BFA, or Brownfield Allowance, approval for all our -- for our Ninian development program, which includes 4 new production wells, 4 injectors and 2 well upgrades, which will -- when they're completed will help our [indiscernible] North Sea production declines and reduce our per barrel operating costs. The drilling will add incremental production, which will mostly impact 2014 levels and will begin a reversal of these operating costs in 2014. In Offshore Africa, the infill drilling program at Espoir in Côte d’Ivoire has been delayed. The drilling rig is in the process of being demobilized due to safety and performance concerns. We are currently reassessing drilling options to complete this 8-well program that, when complete, will add 6,500 barrels a day of light oil at a cost of $24,000 per flowing barrel. At Baobab, work is progressing as planned for the infill drilling program sanction in Q1. This program will add 5 production wells and 2 injectors, and drilling is scheduled to begin in 2015 and, when completed, will add over 10,000 barrels a day and an incremental 42 million barrels of light oil reserves. Our exploration initiatives in Offshore Africa are also picking up momentum. In Q2, we acquired Block 12, where we operate with a 60% interest, in addition to the recently acquired Block 514. Both of these blocks are prospective [ph] for the deepwater channel/fan structures [ph], similar to the Jubilee oil discoveries in Ghana. A 3D seismic program at Block 514 has been completed, and drilling is targeted for the first half of 2014. At Block 12, we plan to commence a 3D seismic acquisition program in Q4 2013, with potential exploration drilling targeted for 2015. In South Africa, we're tracking to plan in a process to bring in a partner for our Big E exploration project. As a reminder, this development has up to 5 significant structures on our lands, up to 1 billion barrel-type structures that we currently own 100%. We have selected partners to join and conduct exploration drilling. And currently, we're in the process to complete all the necessary regulatory documentation to bring in a partner with the South African government. The process is going well and tracking to expectations. The likely earliest drilling date for the South Africa exploration well will be in early 2014. Long-lead equipment to drill this well has been ordered. Turning to Horizon. Our world-class oil sands mining operation, where we have 14.4 billion barrels on ground with just under 6 billion barrels of oil to recover, which will likely grow to closer to 8 billion barrels as we expand our pit limits and drilling improves ore body delineation. Our current design capacity is 110,000 barrels a day, and we're on track for the expansion to 250,000 barrels a day of light sweet 34-API crude, with the ability to expand to 500,000 barrels a day. With no decline for 40 years and virtually no reserve placement costs, Horizon will generate significant free cash flow for decades to come. We have made significant progress in improving our operations reliability at Horizon this past year. We're still progressing today, and we'll continue to progress as we go forward. Our more conservative approach, focus on operations discipline and change in management's maintenance strategy is delivering. Production in the first quarter was solid at just under 109,000 barrels a day. April came in at just under 104,000 barrels a day. In May, we had a very successful turnaround. And coming out of the turnaround, we took a conservative approach producing 101,000 barrels a day in June and 110,000 barrels a day in July. One example of the progress we have made is the enhanced reliability of the ore preparation plants, or OPPs, as a result of our change in maintenance strategies. As you know, the OPPs are critical to the operation and historically have been a major determinant in the overall Horizon reliability. At the beginning of 2013, the availability of 2 train operations at Horizon was running at about 90%, causing us to rely more heavily on the dilbit [ph] tanks to deliver steady feed to the upgrader. With the enhanced preventive maintenance strategy, reliability has steadily increased. As a result, in July, we ran at 112% availability in a 2-train operation for the OPPs. As a result of the steady operations, we're now able to focus more on optimization of production and operating cost. The steady operations, plus the expected increase in volumes that will come with reliability and with enhanced catalysts in the hydro-treating units, which does boost production capacity, resulted in production guidance in Q3 of 111,000 to 115,000 barrels a day for Q3 and unchanged yearly guidance of 100,000 to 108,000 barrels a day. Canadian Natural's execution strategy to expand Horizon been very effective to date, and we're tracking on schedule and continue to run 10% below our cost estimates. Today, we're roughly 24% complete on the combined Phase 2/3 expansion; we're 90% complete on reliability; 18% on Directive 74; 62% on Phase 2a, which will add 10,000 barrels a day in 2015; and 15% on Phase 2b, which will add 45,000 barrels a day in 2016; and 15% on Phase 3, which will add 80,000 barrels a day. Although it's early and we're only at the overall 24% mark, the demand for construction services and supply contractors providing these services remain relatively balanced, making the control costs and maintaining schedule somewhat easier. The Phase 2/3 expansion of Horizon is unique when compared to other mining and operating developments. The optimal design and performance at Horizon is achieved when we reach the 250,000-barrel a day level. And at these levels, we'll be able to leverage all the pre-built infrastructure in Phase 1 for Phase 2/3, increase reliability as additional redundancy will be achieved and significantly lower operating costs will be achieved, as most of the costs at Horizon are fixed and will not increase at the same level as production increases. These factors, optimal design, leveraging Phase 1 prebuild, increasing the liability and lower operating costs for all 3 phases of production, allow the expansion of Horizon to achieve our after-tax return on capital criteria. Importantly, Horizon has a very long reserve life, delivering significant cash flow for decades, a cash flow that is sustainable for the 50-plus years. Horizon has a very flat production profile, with virtually no reserve replacement costs. And in 50 years, we'll produce 4.6 billion barrels of light sweet 34-degree API oil. To upgrade this profile, it will require roughly 13,700 average Bakken wells or 71 average Permian wells and require for D&C costs alone roughly $110 billion and $46 billion, respectively. The major advantage Horizon has over normal conventional [ph] drilling is the risk around reserve replacement costs and a no-decline production profile. Although the returns for Horizon -- horizontal multi-frac oil wells are higher, once you drilled out the sweet spots, replaceing reserves becomes very difficult, driving F&D [ph] cost higher and returns lower. Canadian Natural believes in balance and we balance the various types of our conventional drilling production, including horizontal multifracs, oil sands mining, thermal production, both cyclic and SAGD and our gas production. To optimize returns not only in the near, mid and long term but ensure asset value sustainability and to generate strong sustainable free cash flow. Canadian Natural has a strong and balanced asset base delivering oil production growth in the near term and even stronger growth profile going forward, as we move into what we believe will be a very robust oil pricing environment. Canadian Natural's view of the oil market has remained unchanged for well over a year, and the market has unfolded pretty much as we expected they would. Heavy oil diffs in Q1 2013 averaged 34% of WTI. In the second quarter, April came in at 25%; May at 15%; and June at 21% for an average of 20.3%, a 40% improvement over Q1. July heavy oil diffs came in at 14%. August is trading at 15%. And September indications are running at 21% or projected average of 16.6%, assuming WTI stays at current levels. We expect Q4 to widen somewhat to the 18% to 22% range, making heavy oil pricing for the remainder of 2013 and 2014 very strong. The WTI to Brent spread has narrowed from $21.83 in Q4 to $18.09 in Q1 and $8.27 in Q2. July Brent diffs are $3.13 with August trading at $2.99 and September at $3.65 for a Q3 average of $3.25. We expect Brent diffs to remain at this range for the foreseeable future. Condensate premiums are somewhat seasonal and with a $13.06 premium in Q1, dropping 44% in Q2 to $7.27. July came in at a $1.60 premium. August is running at $2.06 discount. And September is indicating a $5.18 premium for an average $1.57 premium per barrel or 78% less than Q2. WTI prices are strong in Q2 at $94.23, with July coming in at $104.58, August running in the $105 range and September indicating at $103 or $104. All in all, good news for oil producers and, particularly good news for heavy oil producers. Canadian Natural is targeting a very strong production quarter in Q3 and Q4, with Horizon production strong, heavy oil production increasing, Pelican increasing and strong light oil volumes. Combine these with higher WTI pricing, lower heavy oil differentials, lower condensate premiums should make Q3 and Q4 2013 very strong cash flow quarters. In summary, Canadian Natural's strategies are effective and robust. And going forward, we'll continue our transition to longer-lived assets, which deliver significant and sustainable increases in free cash flow, drive higher returns on capital as we focus on effective execution, cost control, ensuring we maintain our strong balance sheet and effective and efficient operations, allowing Canadian Natural to deliver substantial and sustainable free cash flow in 2013 and 2014 and then begin a steady ramp-up in free cash flow which grows at a 32% CAGR to reach sustainable $5.5 billion to $6.5 billion a year in 2018 and well into the future. Canadian Natural is in a very strong and enviable position. Our ability to generate significant free cash flow is a great opportunity Canadian Natural has today and increasingly so in the future. The most likely use of free cash flow allocations is to increase return to shareholders in the form of dividends and share buybacks, dependent, of course, on commodity pricing and a stable fiscal and regulatory environment. With that, I'll turn it over to Corey to discuss our strong financial position. Corey?
Corey B. Bieber: Thank you, Steve, and good morning, everyone. As Steve noted, the second quarter of 2013 included many operational highlights with record production at many of our operations. From a pricing perspective, the market developed largely as we had forecasted several months back. As the quarter had closed, the Brent WTI differential has largely narrowed as had the heavy oil differentials. Corporate heavy oil realizations increased by about 35% to 40%, depending on the quality of the crude. The net result was a cash flow $1.7 billion, largely in line with CapEx of $1.8 billion. The trend of production growth accelerates as we entered the third quarter, with production increases anticipated in almost all segments. In fact, based upon midpoint Q3 guidance, we currently expect about 19% sustainable growth in liquids production versus Q2 of '13. This additional crude oil production comes at a favorable time, as Steve pointed out, from a pricing perspective. Positive movements for Q3 and Q2, to reiterate, include the benchmark WTI currently showing an 11% improvement, narrowing heavy oil differentials currently indicating about 16% versus 20% in Q2; condensate diluent premium costs reducing by about 78%; and continued pressure on the Canadian dollar. Putting these production and pricing factors together ultimately results in very strong levels of cash flow anticipated over the last half of this year. When combined with remaining targeted capital spending, which includes $2.3 billion on long-term projects, such as Horizon and Kirby, which currently do not add production in 2013, debt levels will exit 2013 very similar to where we were in 2012. Put simply, in 2013, we're growing production, buying back shares, increasing dividends and investing substantial amounts in future growth initiatives, all while maintaining our current debt levels. Speaking of our debt levels, during the second quarter, we issued $500 million of medium-term notes at a coupon yield of 2.89% and further diversified our borrowing base through the expansion of our well-received U.S. commercial paper program. Additionally, the term of our $3 billion credit facility was extended by 2 years to June 2017. Available liquidity remains strong, with available lines of credit approximately $2.4 billion at the end of June and no further debt maturities until late 2014. Finally, I believe our prudent commodity hedging program protects investment returns and ensures ongoing balance sheet strength and supports the company's cash flow for its capital expenditures programs. Over 50% of forecasted 2013 crude oil volumes are currently downside-price protected using WTI and Brent price collars at $80. Additionally, 150,000 barrels a day of 2014 are downside-price protected at $75 per barrel. Additionally, physical crude oil hedges locked in WCS differential on about 18,500 barrels a day at $21.35 for the remainder of 2013 are in place and over 9,000 barrels a day have locked in at just over $21.30 for 2014. Details of our commodity hedging program can be found on our website. With those comments, I'll pass it back to you, Doug, for any questions.
Douglas A. Proll: Thank you, Steve and Corey. Sebastian, I would like to open the call to questions.
Operator: [Operator Instructions] The first question is from Menno Hulshof from TD Securities.
Menno Hulshof - TD Securities Equity Research: I'll start with a question on Woodenhouse. So it looks like you're targeting an exit for this year of roughly 22,000 barrels per day, with running room to drill roughly another 50 pads in that area. So what are your thoughts on production capacity in long term, and how quickly do you plan on ramping that up?
Steve W. Laut: Thanks, Menno. It's Steve here. So, yes, we believe we'll be at 22,000 by the end of the year. We do have significant capacity to drill here going forward. And one of the interesting things about Woodenhouse is the declines. As you know, heavy oil production you ramp up to a plateau. And then, when you run a plateau for a period of time and then you drop off very quickly. At this point in time, the plateau volumes at Woodenhouse seem to be longer than normal heavy oil wells, so we haven't actually predicted how far we're going to go, so when we do the budget here in 2014, we'll give you a better guidance on what 2014 would look like, which will be in November.
Menno Hulshof - TD Securities Equity Research: Okay. And I've got 1 other quick question on Horizon, sustaining capital guidance. It looks like there was roughly a $150 million -- $115 million increase relative to the numbers that you put out in May. So what drove that increase?
Steve W. Laut: What really drove it, Menno, is the -- we're driving here for sustained reliability and enhanced reliability at Horizon. So we made a number of changes here as we go forward. During the turnaround, we've meddled up with some of the exchangers, which cost additional money. We added -- as we talked about here earlier, we went through enhanced catalyst, which cost us more money and we'll get production volume increases for that. We also did some work in the OPPs, so we closed some OPPs make sure they run better in the winter, so that cost more money. We also upgraded the chains -- the drive chains [ph] [indiscernible] and a number of other items such as that, including a hot process water tank. And we did some more work in the hydrogen furnace as well to enhance reliability going forward and drive the replaceable parts, which drives sustaining capital higher.
Operator: The next question is from Dillon Culhane from RBC Capital Markets.
Dillon Culhane - RBC Capital Markets, LLC, Research Division: Just a couple of quick questions for me. First, at Pelican Lake, I see you're targeting an exit rate of about 50,000 barrels per day in this year. I'm just wondering if you could provide an annual guidance range at Pelican? And then, secondly, on the CapEx, I see there are some midstream expenditures of about $190 million in the updated guidance that weren't included previously. I'm just wondering what those are for?
Steve W. Laut: So I didn't quite catch the second question, but the first question was the guidance for Pelican Lake? Yes, we're looking at that guidance in probably at the midpoint about [indiscernible] 46,000 and 50,000 for Pelican Lake. And so, we'll be at about the midpoint of that for the year. What was the second question again, sorry?
Dillon Culhane - RBC Capital Markets, LLC, Research Division: The second one was just on the updated guidance. There's some midstream CapEx of about $190 million that's been broken out.
Steve W. Laut: Yes.
Dillon Culhane - RBC Capital Markets, LLC, Research Division: That one wasn't included before. So I'm just wondering what that's for.
Steve W. Laut: As you probably know, we own 15% of the IPF pipeline that takes production from the sort of Primrose, Kirby, Cold Lake area. That pipeline is under expansion, and we're participating in that expansion for a 15% share. That's the largest increase is that expansion that we're participating in. We believe that provides good returns for us -- good long-term returns for the company.
Operator: The next question is from Mike Dunn from FirstEnergy.
Michael P. Dunn - FirstEnergy Capital Corp., Research Division: Another question, I guess, on Primrose. You have talked about your 2014 guidance or expectations coming down about 10,000 barrels a day there. Are you concerned at all about, I guess, longer term beyond 2014 not being able to produce closer to the 120,000 barrel a day, kind of, capacity? Or are you worried about, let's say, at Primrose East maybe modified steaming strategies that might cause higher steam oil ratios, et cetera? Or is this sort of -- you still think this is kind of temporary?
Steve W. Laut: Thanks, Mike, and thanks for that question. It's a very good question. The short answer is we're not concerned. We are very confident that this is a wellbore failure. We're also very confident we can identify the wellbores that may cause an issue. Obviously, we had to do enhanced screening of some of these old vertical wellbores that are in the area. We believe we can do that and identify those. We also are very confident that, A, we can either repair those wellbores that are at risk, so that we don't have any issues. And if we cannot repair those wellbores, then we can -- as we go by that wellbore at the steam wave in the steam area, we'll alter our steaming strategy around those at-risk wellbores. So as you know, the steaming strategy has been used by the industry for over 30 years. These events are relatively uncommon. And everyone [indiscernible] happened has been due to a wellbore. So we know what we have to do. We know the cause, and we're in the process of working with the regulator to make that happen.
Michael P. Dunn - FirstEnergy Capital Corp., Research Division: Great. And if -- maybe if I can just follow up on that, Steve. If it is the case that you have to kind of adjust the steaming strategies around those wellbores, is that -- the outcome of that would essentially be -- you'd have a little bit of stranded resource there but otherwise, operations as expected on the rest of Primrose East?
Steve W. Laut: I think that would be the very worst case, Mike, but the most likely case is when we go by these wellbores, we adjust the steaming strategy. So what they'll -- you'll get the reserves, but it may take you longer to get the reserves out versus the existing optimized strategy.
Operator: [Operator Instructions] The next question is from John Herrlin from Societe Generale.
John P. Herrlin - Societe Generale Cross Asset Research: Just some quick ones. Transactionally, you said you opened a data room -- or in the process of opening the data room for the Montney. In the event that you get suitable bids, should we hear something by year end on the Montney sale?
Steve W. Laut: Yes, you're right. The data room is going to be opened here in the middle of the month -- middle of August. We'll have 52 [ph], I think, in October. And depending what the bids are and how the negotiations go, that will set the timing. So we're not putting ourselves under pressure, as you know. We're under no financial pressure to sell these lands. So we'll take our time and get the right deal, if the right deal exists.
John P. Herrlin - Societe Generale Cross Asset Research: All right. Got it, Steve. With South Africa, obviously, you can't release much yet. But are you getting a heads-up deal or a carrying cost or some combination thereof since you have been doing G&G [ph] work? Can you address that at all?
Steve W. Laut: I'm not going to address that, John. Sorry. I'd love to, but I can't.
John P. Herrlin - Societe Generale Cross Asset Research: It's worth a shot.
Steve W. Laut: I kind of knew that you're going to do that too.
John P. Herrlin - Societe Generale Cross Asset Research: Yes. I know, that the heck. With this bore [ph], you had a rig issue. Are you going to switch companies or rigs or what regarding that?
Steve W. Laut: We released this rig, and we will -- are in the process of looking for another rig. We're very disappointed in the safety performance and the operational performance of the rig [indiscernible] won't say who it is, but they are a major drilling contractor in the world. So very surprising to us. But we have certain standards here and the safety wasn't where it was and the performance was not there. So we released the rig, and we'll look for another rig to do the work.
John P. Herrlin - Societe Generale Cross Asset Research: Okay. Last one for me is on Block 12. You're shooting some more seismic. You have a high working interest. In the event that you do mature prospects, is this something too where you might farm out, or will you keep that high interest? I know it's early, but just thought I'd ask.
Steve W. Laut: It's early but I think we feel pretty confident with the depth of water and the operations we have in Côte d’Ivoire that we'll maintain our working interest here and operatorship going forward.
Operator: The next question is from Phil Skolnick from Canaccord Genuity.
Philip R. Skolnick - Canaccord Genuity, Research Division: On Horizon, what's the cause of the Tranche 2 reliability timing to be slipped into 2014? And on that note also, we saw the 10,000-barrel a day cover expansion some time last year. It was supposed to be coming online in '14 and now last year you slipped that into '15. Is there something that's causing these little slips here?
Steve W. Laut: Phil, I'm not sure on the second part. The coker expansion, as far as we know, hasn't slipped. So it may be some miscommunication on our part, but that has never slipped. As far as the reliability, really, the reliability was supposed to produce 5,000 barrels a day and in essence, we have that 5,000 barrels a day today. The whole part of the reliability is enhancing the life -- basically enhancing the reliability and life of the project. And you'll see that lift fully in 2014. So maybe that's where we're talking about. But really, to get reliability done in the last part is some major -- just minor parts on the sulfur recovery and things like that, that don't add production. So in essence, we have production capacity today about 5,000 barrels a day. And that's why you see in guidance here for Q3, we're at 111,000 to 118,000 barrels a day to Q3 because our production capacity is a little bit better with part of that reliability already being there with the OPPs.
Operator: There are no further questions at this time. I'd like to return the meeting back over to Mr. Proll.
Douglas A. Proll: Thank you, Sebastian, and thank you, ladies and gentlemen, for attending our conference call. Canadian Natural has a very diverse asset base, a complementary balance of production and a plan for the systematic development of this asset base. We concentrate on safe, efficient and reliable operations and a strong financial position supported by readily available liquid resources. We are focused on returns to shareholders in the near, mid and long term. If you have any questions, please do not hesitate to give us a call. Thank you again, and have a great summer day.
Operator: Thank you. The conference has now ended. Please disconnect your lines at this time. We thank you for your participation.